Operator: Good morning everyone and welcome to the Second Quarter 2016 Earnings Conference Call for LightInTheBox Holding Company Limited. Today’s conference is being recorded. At this time, I would now like to turn the call over to Mr. Rene Vanguestaine from Christensen for opening remarks and introduction. Please go ahead, sir.
Rene Vanguestaine: Thank you, Operator. Hello, everyone and welcome to LightInTheBox second quarter 2016 earnings conference call. The Company's earnings results were released earlier today and are available on the Company's IR website as well, as through PR Newswire. Today, you will hear from LightInTheBox’s Chairman and CEO, Mr. Alan Guo, who will give an overview of the Company's strategies and recent developments, followed by Mr. Robin Lu, the Company's Chief Financial Officer, who will address financial results in more detail. Before we proceed, I would like to remind you of our Safe Harbor statement. Please note that the discussion today may contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. To understand the factors that could cause results to materially differ from those in the forward-looking statements, please refer to our Form 20-F filed with the Securities and Exchange Commission on April 29, 2016. We do not assume any obligation to update any forward-looking statements except as required under applicable law. At this point, I'd like to turn the call over to Alan. Alan, please go ahead.
Alan Guo: Thanks, Rene. And thank you everyone for joining us today. I am pleased to report that Q2 revenue came in at $65.6 million, exceeding our guidance of $62 million to $65 million. We also made significant improvement to our bottom-line with GAAP net loss improving to $1.9 million compared to $5.6 million during the same quarter last year. This marks the fourth quarter in a row that our bottom line has improved. This happened despite macroeconomic conditions that have remained weak, even though the negative impact of currency fluctuations has by large subsided except for British pound which has been substantially depreciated during this quarter. With the strength in supply chain, we also improved our gross margin to 37.2% in Q2 from 36.8% in Q1 and our average order size also increased to $48.3 from $39.4. I believe these results reflect the effective and consistent execution of our strategy over the past few quarters to increase customer satisfaction and improve the quality of our supply chain. Improvements in our customer acquisition strategy and technique led to sustained improvements in marketing efficiency. Marketing as a percentage of revenue dropped to 21.4%, compared with 25.7% during the same period last year. With an integrated marketing approach across different online channels including search, display advertising, affiliate network, social media and mobile app installation, we achieved higher overall marketing return on investment. To further improve marketing efficiency, we developed an IT system that enables suppliers to directly initiate the product promotions based on their particular business circumstances. We further enhanced our social media marketing practice and successfully engaged accumulating more than 2,000 online opinion leaders, helping us increase our brand and product exposure in order to attract more customers. Supply chain optimization remained a priority during the quarter. In addition to higher gross margin sequentially and higher average orders size, we also recorded our lowest inventory level over the last eight quarters and observed major improvements in a number of relevant supply chain metrics including order cancellation rate, post-sales return and refund rate. Our order cancellation rates dropped 8% sequentially and our post-sales return and refund rates dropped 23% sequentially as well. After a few quarter of eliminating low-performing suppliers and products, we finally started to regain momentum in introducing more new product listings. Our quarterly new product listings increased 20% compared with Q1 this year. This has been achieved in a more systemic way with an enhanced merchandising IT system that [indiscernible] Internet more intelligently than before in order to identify emerging popular product trends and with our proprietary image comparison system based on intelligent feature extraction that enables us to identify similar product in our current and potential supplier base. Our partnership with Zall Development and Aokang continues to make significant progress in enhancing our supply network and contract terms across a number of key initiatives. Operational efficiency optimization in logistics and warehousing is another area of major focus. We made major upgrades in our warehouse and IT system which has significantly improved our marginal fulfillment cost per order and our fulfillment cost as a percentage of revenue dropped to 6.3% compared to 6.9% the same quarter last year. We have enlisted more than 40 new logistic vendors, most of which provide trackable or expedited shipping solutions that are more competitive in their relevant testing nation countries. As a result, the percentage of orders shipped with trackable or expedited shipping carriers reached a historical high and our customer complaint rate related to shipping tracking or lost packages reached a historical low during Q2 providing customers with a significant better shopping experience and greater satisfaction. With such enhanced logistics and the fulfillment infrastructure and systems, our progress in our cross border logistics platform LanTingZhiTong is also on track with more customers enlist and orders fulfilled. On June 08, the Board authorized a share repurchase program of upto $10 million worth of our outstanding ADS, reflecting our confidence in our strategy, operating fundamentals and the business prospects as well as our commitment to enhance value for our shareholders. We have started to implement our share buyback program. With continued improvement of operational efficiency, improving customer satisfaction and a strong balance sheet, we believe the Company is well-positioned to capture opportunities in the large, global cross-border ecommerce market. We think we are well-prepared for the upcoming Christmas season of 2016. Now, I will turn to Robin who will walk you through our Q2 financials.
Robin Lu : Thank you, Alan. We are very pleased to report the improved operational efficiencies we achieved during the second quarter despite unstable macroeconomic conditions. Currency volatility and that of euro in particular has relatively stabilized when compared to the same period last year, except for the British pound as a result of Brexit. As I review our financial results, let me just remind to you about a few things. All numbers quoted are in U.S. dollars. All the percentage changes refer to year-over-year unless otherwise noted. Net revenues were $65.6 million; total orders were $1.4 million; and the total number of customers who made a purchase in the quarter were 1.2 million. Revenues in the apparel category were $27.1 million; as a percentage of total net revenue, apparel revenues were 41.2% compared with 44.6% a year ago. Revenues generated from other general merchandise were $38.5 million. Looking at our business geographically, revenues from North America were $21.4 million and accounted for 32.6% of total net revenues. Revenues from Europe were $37 million, representing 56.4% of total net revenues, while revenues from other countries were $7.2 million, representing 11% of total net revenues. Gross profit was $24.4 million and the gross margin was 37.2% compared with 37.5% in the same quarter of 2015. Fulfillment expenses, which include payment processing fees, decreased to $4.1 million from $5.4 million. Selling and marketing expenses were $14.1 million, lower than $20.1 million in the same quarter of last year. G&A expenses were $8.3 million or 12.7% of total net revenues, down from $9.8 million or 12.5% of total net revenues. G&A expenses include $3.1 million in technology investments compared with $3.9 million during the same period last year. GAAP net loss was $1.9 million compared with GAAP net loss of $5.6 million a year ago. Non-GAAP net loss was $1 million compared with non-GAAP net income $7.1 million in the same quarter of 2015. GAAP net loss per ADS was $0.03 compared with GAAP net loss per ADS of $0.12 in the same quarter of last year. As of June 30, 2016, we had cash and cash equivalents and restricted cash of $97.3 million. For the third quarter of 2016, based on our current estimates and busy seasonality, we expect net revenue to be in the range of $61 million to $63 million. This forecast reflects the Company’s current and preliminary views on the market and operational conditions, all which are subject to change. This concludes our prepared remarks. At this point, we are ready to take some questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of George Askew from Stifel. Please go ahead.
George Askew: Hey there, good evening.
Alan Guo: Good evening, George
George Askew: Just a couple of quick questions. You referred to the major improvement in customer satisfaction and you referred to the delivery times and the quality of deliveries as one of the metrics. Can you just sort of characterize, quantify perhaps what that improvement is? And over the last three or four years, where we are in the range of great to poor, best to worse; what quartile we’d be? And in other words, if your satisfaction troughed 12 months ago at a certain level where is it -- how much is it lifted off the bottom?
Alan Guo: Alright. So, George, we have not specifically -- we have been tracking those metrics internally for a long period of time, but we have not given out specific numbers on a quarterly basis. But, I think there are a couple of metrics that are very relevant. The first is the pre-sales cancellation rate, because one major reason for cancellation is actually slow lead time of ours suppliers or slow warehousing operating times if you think of that. But it’s safe to say that we had the best performance at least in the last six quarters in that regard. For the post return refund, also similarly we think it’s very relevant to product quality; it’s also very relevant to the shipping time because if it’s too late then people might not need to use it. So, those are the metrics that reflect those two aspects. We also think we have the best activity for the last six quarters. For the other metrics like the shipping time specifically and also percentage of orders shipped in a trackable fashion we also think we have achieved at a very good situation across the last number of quarters. I guess the bottom line is that we think we start to see really good results after working tirelessly in the last six quarters, starting last year. We will -- the management is very committed to continue the trends with our -- as our strategy focus. So that’s the way we think about it.
George Askew: Okay, great. Thank you for that. Secondly, and I have two more. Could you kind of characterize your cross-border fulfillment service business? You mentioned that you had customers there. I know it only launched in June. Can you give a sense of what your -- how big that could be, is that a second leg of the business over time or is it more of a cost shift kind of strategy where you can get other companies to absorb costs?
Alan Guo: Yes. While we have not break down that, we definitely see very good early attraction of that business, in both number of new customers, business customers we acquired over time and also a number of orders we shipped for them. We think it’s a very promising business; it’s not only a cost shifting strategy, it’s certainly promising aspect for another revenue stream but it’s still early initiative. So, we will continue nurturing it and we will continue to get momentum as the time goes. But we feel very good about it.
George Askew: Got it, okay. Thanks. And then lastly, if I heard correctly, your average order size is up big time, 39.40 goes to 48.30, it sounds like, if I heard it correctly. Am I right; can you kind of characterize why is that; is it a mix shift; is there something going on with currency that I’m not focused on, what are the drivers there?
Alan Guo: Yes. As you might recall that our -- so, in 2013 and 2014, our average order size was actually in a declining trend; in the year of 2015, our average order size was pretty flat among $40. And this quarter for the first time we actually gained about 20% increase in average order size. We think it’s a combination of a number of things; it’s certainly not [indiscernible] of the currency exchange rate. It’s a business result that related to some of the categories that’s gaining momentum such as home decorations which has a higher average order size. It’s also a fact that our strategy of introducing better quality product in certain categories, which means slightly higher ticket size will also start also to gain traction so that average order size becomes bigger. And also I think it’s another indicator that the consumer confidence with us starts gaining momentum, while our customer satisfaction metric is improving.
George Askew: Okay, good deal. All right. Well, thanks so much for taking the questions.
Alan Guo: Thank you, George.
Operator: [Operator Instructions] At this time, there are no further questions. So, I would like to hand the call back to Mr. Vanguestaine for closing remarks.